Operator: Greetings and welcome to the Fortuna Silver Mines’ Fourth Quarter and Year-End 2012 Earnings Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Carlos Baca, Investor Relations Manager for Fortuna Silver Mines. Thank you, Sir. You may begin.
Carlos Baca: Thank you. Good morning, ladies and gentlemen. I would like to welcome you all to Fortuna Silver Mines and to our 2012 year end financial and operation results call. We are hosting the call from Lima, in Vancouver. I would now like to turn the call over to the President, CEO and Co-Founder of Fortuna, Mr. Jorge Ganoza. Thank you once again to everyone for joining us today.
Jorge Ganoza: Good morning to all. Thank you, Carlos. I’m joined on the call today by Luis Ganoza our CFO. I will initiate the conference and with the assistance of Luis, we will be giving a summary and analysis of operations and financial results for 2012. Once concluded, we will address your questions. During the year, our company recorded record sales of $161 million, comparing against 2011. Net income increased by 62% to $31.4 million and cash generated by operations before changes in working capital increased by 59% to $62 million. For the year, earnings per share rose by 56% to $0.25, and operating cash flow per share before changes in working capital increased by 56% to 57% per share. This record performance is in spite of lower silver prices in the year, we realized $30.91 per share per ounce versus $34.85 in 2011. Production for the year rose to 4 million ounces of silver and 20,700 ounces of gold, exceeding guidance by 8% and 19% respectively. For 2013, production guidance is for silver to raise – silver production to raise to – a raise of silver of 10% to 4.4 million ounces and gold of 23,300 ounces, an increase of 13% for the year. For these reasons and with the aim of providing more clarity on the subject of costs, on January 24, Fortuna moved to release along with its 2013 production guidance, annual and quarterly closing guidance as well. At the San Jose mine, we anticipate a year-over-year drop in cash cost of 4% to $70 per tonne and at Caylloma, we anticipate a year-over-year increment of approximately 10% to $96 per tonne. For 2012, consolidated cash cost per silver ounce net of by-products was $5.96. For 2013, we anticipate cost per ounce to drop to approximately $5. These under the price scenarios in our budget, which go for $30 silver, $1,700 of gold, $2,100 lead, and $2,000 zinc per tonne that is. Fortuna remains as one of the lower cost primary silver producers in the emerging producer space. With regard to our 2012 main capital projects, I want to highlight three. One, at San Jose, we continue with one with an on-time, on-budget execution of our expansion plan to increase throughput capacity by 50% to 1,500 tonnes per day. We’re planning to commission this early in the third quarter of this year. The main component of expansion is installation of a new 700 tonne per day ball mill, which is expected to arrive on site in late May. Segments in October; we concluded the segment of the water pipeline interconnecting the water treatment facility in the Ocotlan water plant and north San Jose mine. This project secures the final 20% of our water balance for a stable production at 1,500 tonnes per day. On 3, the number 3 tailing facility at our Caylloma mine was commissioned in late 2012 and is fully operational. For 2013, we have capital budget allocated to our mines of $53 million were the main project or the expansion of the San Jose mine with a $14 million budget. The new camp facilities at Caylloma for $8.6 million and average to the Caylloma power grid for $4.8 million. After a number of years of continued deals and expansions, we expect capital requirement at both our operations to start reverting back to sustaining level in 2014, with an initial estimate of $20 million to $25 million in capital requirements for the year. Moving on to explorations, we invested $12 million in our 2012 programs. We drilled 43,000 meters between Caylloma and our San Jose mine plus 5,000 meters at Mario project in Central Peru, which we dropped in June and account for a $3.9 million write-off in our 2012 financial statement. Our 2013 exploration budget is for $14 million and includes over 50,000 meters of drilling plan for the year. During 2012, our exploration team at San Jose discovered high grade silver and gold mineralization on the north end of the San Jose Ocean, which extends into the newly acquired Taviche Oeste Concession, where we have acquired a controlling interest from Pan American Silver. On February 4 of this year, the company announced the closing of this acquisition and released the initial results with a highlight drill hole intercept of 12 meters at 427 grams per tonne of silver and 2.7 grams per tonne of gold. We’re currently advancing with the drilling of this new zone from surface with two drill rigs and are advancing with a 300 meter underground development to prepare chambers for underground drilling leader in the year. We plan to incorporate these results in our 2013 resource as we mentioned. I also want to highlight that on March 5, we’ve released updated reserves and resource estimates as of December 31, 2012. The technical reports will be filed on SEDAR by the end of this month. We have reported a reduction of silver ounces in reserves of 12% and for gold a reduction of 5%. During 2012, the company did not carry resource conversion drill programs with the resulting reductions previously mentioned being mainly a consequence of mining depletion. For 2013, the company has initiated the year with an aggressive resource conversion program at both mines. The conversions achieved through these programs we plan to include in this year’s estimates. Under incurred recourses, we reported a very healthy increase of silver ounces of 38% and a gold increase of 26%. With the existing base of reserves and resources, management is confident we can project the lives of our mines beyond eight to 10 years at both operations. With these, I will now let Luis takes you through the financial statements.
Luis Dario Ganoza: Thank you. As Jorge mentioned of our – the year ended 2012, we have reported record net income and cash flow from operations. Net income was $31.5 million, 62% above 2011, and cash flow from operations was $62.2 million, up 59% above 2011. These results reflect the strong operating performance of San Jose in its first full-year of operations. Our annual sales increased 46% over 2011 to $161 million driven by the contribution of San Jose with $77.3 million. Sales at San Jose were strong on the lack of silver and gold production significantly above our guidance. Sales at Caylloma were 14% below 2011 due mainly to lower metal prices and lower base metal production. Our mine operating income increased more modest, 16% over 2011 to $70.7 million as our growth margins decreased from 55% to 44%. This drop in gross margins is partially attributable to higher depletion, but it’s mainly related to lower cash margins at Caylloma as unit costs per tonne year-over-year increased 26% in a context of lower sales. With respect to our focus for 2012, however, Caylloma’s performance was in line in terms of production and cost. Moving down below on our income statement and our selling and G&A line item, we have recorded $20.5 million in 2012. That’s $0.7 million over 2011. This fee year encompasses an increase of $4 million in our general and administrative expenses at corporate and both our operating subsidiaries partially offset by $2.6 million of lower stock-based compensation. Our operating income for 2012 was $45.2 million, up 19% above 2011. Our net income benefited from a lower effective tax rate in 2012, the effective tax rate for the year was 30% compared to 49% in 2011. As a result of this, we recorded $5 million less of income tax provision on a higher base of income before income taxes. This lower effective tax rate is related to the impact of foreign exchange rates on the calculation of deferred taxes. As mentioned before, we recorded net income for the year of $31.5 million, correspond to $0.25 per share, 56% above the $0.16 reported in 2011. For the fourth quarter of 2012, we recorded net income of $8.5 million compared to a loss in the prior year period of $1.8 million. The increase in net income in the quarter was driven by higher sales at San Jose, as well as lower effective tax rate, which resulted in a $6.4 million reduction of deferred tax provision. Moving on to that cash flow statement, our cash flow from operations for 2012 as we presented before changes in working capital and after taxes paid was $62.2 million, up 59% over 2011. The strong increase over the prior year reflects the contribution of cash margins from San Jose and a lower cash tax rate at San Jose did not incurred current taxes in 2012. Cash flow per share for the year was $0.50. Our cash flow in the quarter was $11.9 million, an increase of 35% over Q4 in 2011. Cash flow per share in Q4 2012 was $0.10. When compared to the third quarter of 2012, our cash flow in Q4 decreased $8.1 million, or $0.05 per share. This slower performance in Q4 is explained to a larger degree by events specific to the quarter; mainly $3.5 million lower sales adjustments. That is compared to Q3, lower silver and gold head rates affecting our margins at San Jose and then inventory buildup at year end compared to a reduction in inventories in Q3. Additionally, we were affected by the increasing Caylloma’s unit cash cost at year end of 14% again, the previous quarter. Our net cash accumulation in the year considering short-term investments that’s part of our cash balance was $8.8 million after cash consumed in investing activities of $44 million. The latter amount is related to mine development, exploration, the mill expansion in San Jose and certain amount of recurrence and large infrastructure items at Caylloma associated with our sustainability of operations as Jorge mentioned in his intervention. Finally, our cash position including short-term investments as of the end of 2012 was $64.7 million and our working capital was $87.4 million. Thank you.
Jorge A. Ganoza: Thank you very much for listening in. We would now like to turn the call over to any questions that you may have. Please state your name clearly and try to keep you questions brief.
Operator: Thank you. We will now be conducting the question-and-answer session. (Operator Instructions) Our first question comes from the line of Ben Asuncion with Haywood Securities. Please proceed with your question.
Benjamin Asuncion – Haywood Securities: Good morning gentlemen. Thanks for taking my call here. I just had a couple quick questions here. First, if you could just go over what the metal price assumptions again were, I missed that at the beginning of the call, specifically the lead and zinc that you’re using in your forecast?
Jorge A. Ganoza: Yes, Ben. In our budget, we are using $2,100 for lead and $2,000 for zinc.
Benjamin Asuncion – Haywood Securities: Okay, thank you.
Jorge A. Ganoza: Okay.
Benjamin Asuncion – Haywood Securities: And just going to San Jose briefly here; so the commission is slated to commence at the beginning of Q3, what do you think that timeline will be in terms of when you’d be at full steady state at sort of the 1,500 tonnes?
Jorge A. Ganoza: The mine is ready. It will be ready by then to comfort of the source, enough fresh ore to support 1,500 tonnes per day. And in terms of plant mechanic readiness, we believe the commission should be short. The main equipments are the new ball mill and two for patient benches. These are being installed as the parallel circuit. So we will not foresee at this moment any long commissioning period for these expansions. So our best assessment today is that by the end of July, we should be fully operational at 1,500 tonnes per day.
Benjamin Asuncion – Haywood Securities: Okay, perfect. And just touching on that the mill you purchased was 700 tonne per day. Do you have the flow capacity and everything else within the plant to make a subsequent increase to 1,700? And is there any significant additional CapEx that will be required to make that step?
Jorge A. Ganoza: The plant is over side. And in fact today what we are seeing with an initial nominal capacity of 1,000 tonnes per day. We are currently operating around 1,100 and even close to 1,200 tonnes per day in the existing facility, without compromising recoveries and our quality of concentrate. So the new expansion, the nominal capacity for the new expansion is 1,800 tonnes per day, as we have it right now. The plant will be ready to accumulate 1,800 tonnes per day on the partnership with on the beginners and flotation, retention capacity and flotation sale. But basically we have is a nominal capacity at the end of the day, we will be around 1,800 tonnes per day, because it’s oversized. So we are taking about 1,500 tonnes per day, that is the reading all this time. But everything has been oversized for roughly 1,800 tonnes per day.
Benjamin Asuncion – Haywood Securities: Okay; and lastly, at San Jose, any comments on the status of the concentrate leaching facility?
Jorge A. Ganoza: Yes, the concentrate leaching facility is a project that we carry in our budget since 2012. Basically, when we first ran the numbers, it was a robust project. We’ve been comparing against core in terms of the time, a commercial terms for concentrate. There has been cost escalation at the time of the project. Today these are projects of around $14 million to $16 million, and we have seen significant improvements in commercial terms for the sale of high grade silver/gold concentrate. So what we see today is a project that has gone from robust in late 2011 when we hit into our budget to marginal to the – on its economic viability. So we have gone back to the drawing board. We have removed the concentrate leaching project from our 2013 budget. We have gone to back to the drawing board. We’re trying to assess a different time and process to the facility, so we see if we can cut on capital costs and operating costs. The added version of this project for us is that, it is an offsite leaching facility. And that carries within on itself higher capital and operating costs. So we’re trying to see how we can help ourselves and short cut some of those capital and operating costs to bring back a robust project. We believe that long-term, it is essentially we’ll think to lose to produce the rain instead of concentrate. But we have secured a site in the state of (inaudible) some 200 kilometers away from our operation. We already have permits to build the facility, but we are trying to improve on the economics of it before we go into construction.
Benjamin Asuncion – Haywood Securities: Okay. And then my last question, and then I’ll hop back in the queue here. You mentioned the sustaining CapEx from a go forward basis as you’ve done with this year capital programs. You were getting a range of about $20 million to $25 million. Could you give me a breakdown of how that separates between Caylloma and San Jose?
Jorge A. Ganoza: Yes. Caylloma, sustaining capital requirements are about $14 million per year.
Benjamin Asuncion – Haywood Securities: Okay. All right, so…
Jorge A. Ganoza: The balance, another $6 million to $7 million is on a sustaining basis what we see in our five-year plans for San Jose.
Benjamin Asuncion – Haywood Securities: Okay, perfect. I’ll hop back in the queue and let other people ask questions. Thank you very much Jorge.
Jorge A. Ganoza: Thank you.
Operator: Our next question comes from the line of Trevor Turnbull with Scotiabank. Please proceed with your question.
Trevor Turnbull – Scotiabank: Hi, guys. I was wondering if you could just talk a little bit more about the power situation at Caylloma, I see that you’ve got some capital allocated to spend on the power grid at Caylloma, and at the same time you’re also talking about the cost at Caylloma incorporating – still incorporating diesel generation. And I just wondered, if you could give me a better idea, are you looking to migrate a 100% away from generation and get 100% on the grid and if so, what’s the timing of that?
Luis Dario Ganoza: Yes. The power situation in Caylloma; there are two components to this. One is the main grid, the main power grid that brings power to our substation. That power grid, that power line has been saturated. It is a private line that has been saturated. And through some modifications on the grid, the power on that line or that line will be discharged and will have power available starting in the second quarter of this year. Some time in the second quarter of this year, there will be power available on the line. We are currently consuming between 3.5 megawatts and 4 megawatts of power. But we are capped because the line there is saturated. So starting this second quarter, we should see more power available on that line as other operations in the neighborhood are interconnecting to second line. And by doing that, they are freeing power on this transmission, right.
Trevor Turnbull – Scotiabank: And so how much power do you require at Caylloma?
Luis Dario Ganoza: Right now, we are currently meeting all our requirements with 4 megawatts to 4.5 megawatt of power. There are some small hydroelectric brands that also source power to the grid locally, and we’re benefiting in this time of rainy season from the input in the line from those hydroelectric plant. So right now we’re really not burning diesel apart from some small power in compressed air generation that we plan to remove. Now, there is power available, it’s starting in this second semester. And then when there are power outages, because the lines are not 100% stable, of course. So we can be more effective and efficient with the use of power within our installation. So that is the budget that you see in our disclosures. And so there are two components; one, power availability and then our ability to efficiently utilize the power within our secondary grid and that is what you’ve seen in the budget.
Trevor Turnbull – Scotiabank: Okay. And then just also on capital spending at Caylloma, it looks like you had deferred a couple of your expenditure project last year. Can you just talk a little bit about why you deferred some of those things?
Jorge A. Ganoza: In our 2012 budget, there are couple of phase that we did not execute. One was an $8 million budget for the upgrade of the processing plant facility. We have spent only $1.2 million out of those $8 million budget. The main reason is that we have been able to secure mechanical availability through some changes in the process. And we were also looking to expand potentially have capacity beyond 1,300 tonnes per day, which is a nominal capacity to the by making some of these adjustments. And our conclusion at the end of the day has been that the optimum operating capacity for San Jose is 1,300 tonnes per day. We’re not talking at this moment about further increases in production, beyond that right now. So that has also moved us to some of those capital projects.
Trevor Turnbull – Scotiabank: Okay.
Jorge A. Ganoza: That is…
Trevor Turnbull – Scotiabank: Okay. And just last question with respect to Caylloma. Do you have a sense of what kind of lead and zinc grades we should be looking for this year?
Jorge A. Ganoza: Yes, of course. In our budget for 2013, we have lead with a 2.2% lead and 2.8% zinc.
Trevor Turnbull – Scotiabank: Okay, great.
Jorge A. Ganoza: For the year.
Trevor Turnbull – Scotiabank: Okay. And I just had a quick question with respect to San Jose. And you talked about that you’re going to be over sizing the plant, so that potentially – it’s essentially ready to do 1,800 tonnes per day, even though the target is 1,500. Would there be any changes needed underground to extract 1,800 versus the 1,500?
Jorge A. Ganoza: No. The mine has ample capacity with existing infrastructure to source. We believe approximately 2,000 tonnes per day without any major changes to infrastructure.
Trevor Turnbull – Scotiabank: Okay.
Jorge A. Ganoza: That is our current assessment. The main decline and the ventilation systems, the supporting infrastructure for example, hydraulic fuel and all of that, we believe can accommodate higher throughput. The leading factor of this mine has always been weather availability. As we all know we are in a dry basin. Our two main sources of water are capture of rainfall and storage of that rainfall water. And second is the sourcing of residual water from the treatment of sewage in a nearby town. So those are the two main inflows of water into our balance. Right now, we have secured 1,500 tonnes per day under worst case scenarios. So we are currently addressing and exploring ways to maximize the water, the efficient use of water in our system and the key priority there is evaporation control. We store in our dual tailings formed water reservoir and that is where we store that water that we use for San Jose, the make-up water that we use for San Jose and there were circulations that we – system uses a water pond as well. So this is a large surface of course, over five hectares and we are trying to see – implement a solution to control evaporation. Evaporation is very significant through the year. That is our main water loss in the system today. And we’re moving to implement solutions and any water we can save there – save from evaporation goes directly into water that we can use for improved tonnage beyond 1,500 tonnes per day. This is still in evaluation phase. We’re looking at various solutions for evaporation control and our expectation is that by mid-2013, we should be able to produce numbers in terms of weather availability and what that means to our throughput capacity into the second half of the year or into 2014.
Trevor Turnbull – Scotiabank: Okay. Thank you very much. That’s good for me.
Operator: Our next question comes from the line of [Andy Schopick], a private investor. Please proceed with your question.
Unidentified Analyst: Yes, thank you very much. First, Jorge, I can assume – should we assume that there will be no silver and gold production in 2013 at the earliest would be perhaps 2014?
Jorge A. Ganoza: No. Yes and no. You are correct. We will not be producing the rivers in 2013 and we will not be producing the rivers in 2014 either because we removed, there is a rig project from our budget in 2013. The construction of facilities, we believe it’s below six to eight months. And so it is not in our 2013 budget. What we are doing in 2013 is we have gone back to the drawing board. We’re assessing a different process. We were using some Australian technology, which is proprietary and we believe that by going to a more mainstream process, we can cut on capital and perhaps even cost. So we’re assessing that second alternative and that is something we’re doing great this year. And if successful with the preliminary fee, we will include it in our 2014 budget. Today, we are enjoying very competitive commercial terms for concentrate and I think we can all appreciate the facility of producing the rivers, but the terms today that we get for concentrates in Mexico make the competitive difference of the leaching facility challenging. For long-term, I believe these are pretty good. We should do and as I already mentioned, we have acquired the last to build a facility and just crunching our numbers and trying to sharpen our pencil to see how we can make more economic sense and a more robust viable project out of the leaching project.
Unidentified Analyst: Okay. Tax rate assumption for 2013, I don’t know that I’ve heard you make any comment on that. I assume it will be something more than 30%, but I’d like to know if you can give us any guidance on your effective tax rate for this year.
Jorge A. Ganoza: Luis?
Luis Dario Ganoza:
Unidentified Analyst: So the tax rate is more likely than not to be somewhat higher?
Luis Dario Ganoza: The effective tax rate, I believe we should first say between 30% and 35%. The rate we’ve recorded for 2012 are needed to be high based on what we expect the time and what we can foresee moving forward. So yes, something in the range of more around 35%, I would say rather than the 30% we’ve seen for this year.
Unidentified Analyst: Okay, fine. And I want to come back to Jorge on another thing here is that I see in the press release. If I’d like some clarification on some of these assumptions, the cash cost net of by-products was $8.85 in the fourth quarter for silver ounce. You were getting this guidance of $5 using certain assumptions here, including gold at 1,700, which is like 6% above the current market, spot price. I’m not sure why you’ve done that. But can you help me to understand if the cash cost per silver ounce net of by-products was $8.85 in the fourth quarter, using your assumptions for both gold and base metal prices, how we get to the $5 silver ounce price for this year?
Jorge A. Ganoza: Yes, of course. First, if you look at the cost performance, other operations through the year, our cost for the year is $5.96. So what you see in the fourth quarter at both mines is a series of a one-time event that do not represent a trend in cost. For example, in the case of the San Jose mine, we have a buildup of development in the underground mine, which accounts for, close to $5 per tonne, if I’m not mistaken right now. So we also have the added cost of the interconnection of the water pipeline. That is a project that took two years because of some struggles with – or differences with the local community. And at the end, after two years, we’ve been able to reach a satisfactory agreement with the community and we made some commitments, helped them build some water dams and purchased vehicles for the municipality and what not. So all of those things impacted our cost in San Jose and are one-time event. And in our Caylloma mine, we see, in a way a similar picture. The fourth quarter, we see some cost pressures come in. There, we are budgeting a cost increase. And also bear in mind that in 2013, we are materializing our production expansion of 50% in terms of throughput at San Jose, which helps bring cost down materially. We have provided a cash cost guidance, not only annually, but also in a quarterly basis in our news release. So I would like to refer you to the quarterly guidance where you see the evolution of our cost per tonne at both mines per quarter and for the year. And cost per ounce is a figure that we provide, a support figure of course. The true measure of cost is in the cost per tonne. And again, I don’t think it is the best way to look at our cost in 2013, if not looking at what happened in Q4, it’s not the best way to do it. It is a quarter that was hit by at least one time event on distortions on the bigger picture.
Unidentified Analyst: Very good, I just wanted a clarification on that. Thank you.
Operator: Our next question comes from the line of Chris Thompson with Raymond James. Please proceed with your question.
Chris Thompson – Raymond James: Good morning gentlemen. Just I think a lot of my questions have actually been answered here. But could you just give me a little bit of an update on the community relationships at San Jose?
Luis Dario Ganoza: Yes, of course. What I can report is that community relations at San Jose continue to be in good standing. And we have nothing that we can report as a material change with respect to the sustainability of that relationship, not only with municipal and state authorities, but also with a broader base of local community at San Jose. And we believe that our great breakthrough and great sign of improvement with surrounding communities has been the fact that in the month of October of 2012, we were able to reach an agreement with the community of Magdalena to install the water pipeline. This project has been ready for almost three years. And we were not able to fully benefit from the project, because the Magdalena community would not allow us to interconnect two kilometers of the pipeline. And we after a lot of work on the parts of our community relations teams, we’re able find sensible solution with the community and we’re able to do the installation. And I think that speaks our ability to interact and connect with our communities. We are of course the largest employers. We of course pay the highest salaries. We have significant on going projects at all levels with stakeholders in the community and fund infrastructure projects. So I can say that as management, I am satisfied with the level of engagement and sustainability that we’ve been able achieve with the community.
Chris Thompson – Raymond James: Great, thanks. Just one more quick question.
Jorge A. Ganoza: We have the improved sustainability section on our website, and I would like to refer you to the stage where you can get a better sense for project and good things that we’re doing.
Chris Thompson – Raymond James: Okay, great, thanks. Just a final question, unfortunately, there was a totality at San Jose relating to as a contractor there? Could you just give us a little bit of color here, I mean it’s always a sad situation when this happens, but were this just a breakdown on work practices as far as the contractor was concerned or what?
Jorge A. Ganoza: Yes, on January 2, a contractor working for a raise bore drilling company conducting work at our San Jose mine suffered an electric shock underground that took his life. It is a sad and tragic event. But as tragic as it is, we believe that it is an isolated event. There as part of our – for internal process, the corporate position here for health and safety conduct an independent review. And there are some recommendations have been implemented. It is the first fatality at the San Jose mine. And again, tragic as it is, we believe it’s an isolated event. There were no material reaches of safety protocols. But some lines of defense on our procedures work fears and as a result of that the fatality space. It is not a direct employee of the company. It is a contractor under management by the same contracting company, but it happened in our operations and we think it’s our – assume the serious and are working with all of our contractors to ensure that we are on the same standards and procedures.
Chris Thompson – Raymond James: Great, guys. Thanks a lot.
Jorge A. Ganoza: Thanks.
Operator: Our next comes question is a follow-up question from the line of Ben Asuncion with Haywood Securities. Please proceed with your question.
Benjamin Asuncion – Haywood Securities: Hey, guys. Sorry, just one last question here. With respect to cost at Caylloma, can you give us a sense of what you are seeing right now and kind of what the risks are to further year-on-year subsequent increases going forward on the cost and what you’re doing to kind of mitigate some of that?
Luis Dario Ganoza: Yes, we have budgeted a cost increment from the average cost that we have seen in 2012. The average cost that we expect into 2013, a cost increment of roughly 70%. 5% of the increment is ticketed to labor. With respect to labor, we’re seeing a 5% increment. With respect to transports of concentrates, there is a new regulation crew and concentrates now need to be trucked on the sealed containers. So that has an impact of 11% on our cost of trucking. We also have – we have a contractor tariff that we have budged for 2013, an increment of roughly 8%, which account to some $3 per tonne. So we saw already some of this projection in our costs materialized in the fourth quarter of 2012. A cost in 2012 has been quite steady in line very much with our budget. As I mentioned through the last quarter, we see some of the pressure start that we are budgeting in 2013 materializing. But I know that some companies have been projecting cost increases of between 20% to 25% in Peru, where we’re seeing right now is more 10%, and we also have initiatives to help by improve and mitigate some of these cost pressures. For example we’re changing the explosives that we use in the mine, we’re going after inventing and improving ventilation, we’re moving away from the motions into handful. That will help lower blasting costs, by making the out grids on the power grid, and having more power available to us, we will be able to save some money on power as well. So what I want to say is that that is our best estimate today. We will not see anything right now that will indicate movement away from our projection for the year. And if we see that, we will be guiding accordingly. What you’ll see in the way we communicate cost again, I illustrated we have more to provide quarterly cost guidance for each mine in terms of dollars per tonne. And what we have done that so the market can benchmark against our guidance. And we can also guide on a quarterly basis with what’s happening with the cost evolution.
Benjamin Asuncion – Haywood Securities: Okay, perfect. And that was it for the questions that I had. Thank you.
Operator: Our next question comes from the line of George Shea with Cicada Investments. Please proceed with your questions.
George Shea – Cicada Investments: My question revolves around the outlook for discoveries. One is, you’ve talked of looking around the San Jose area and I believe you’ve secured some areas that were not part of your land package. And secondly, you hired Mr. Robert Brown. I understand anecdotally there are a lot of prospects for sales. I’m sure many of them are not very attractive. But could you answer that general question?
Jorge A. Ganoza: Yes. Thank you, George. With respect to the concession we acquired from Pan American Silver, we have acquired a 55% increase with an option to acquire the balance for 100% interest in the property for a total consideration of $10 million, that’s been part of our disclosure. It is a clear position for us. We’re currently mining relatively close to the northern boundary of our property. And exploration through 2012 have discover a wide and rich extent of the ore shoot into the Pan American ground – into what was the Pan American ground through drilling. So we have been able to secure the deal with Pan American. It is the cheapest ounces we will be able to bring to our books. We are currently drilling with two rigs and we’re planning to add a third one underground, we’re lightly going to be drilling there throughout the year. This zone that remains open to the north that our team discovered is not only rich, but wide as well. I provided a highlight of the drilling, but you can see the results in the news release. And I also invite you to follow on the advances of the exploration as we continue releasing results from that area through 2013. So we see that as opening a door for addition of near mine resources that can quickly come into a mine production, where literally mining only tens of meters away from some of these zones. And with the underground infrastructure, it is really an addressable within the year. So that is what I can add there. We have high expectations for this new zone and what opens to the north in the Pan American. We’ll use to be the Pan American drill. With regard to the position of Vice President of Corporate Development, Mr. Robert Brown, it is part of a strategic shift in the company for the last seven years has been focused on organic growth. Yes we’ve been looking at new opportunities. But on a more selective opportunistic basis, Fortuna is now looking outside the farm and we decided to open a new position in the company late last year that of by pressing some corporate development. We started with Robert Brown and Laurence has been working closely with a team here in identifying and pursuing some opportunities.
George Shea – Cicada Investments: Thank you. And do you see any need to raise capital during 2013?
Jorge A. Ganoza: Not at all, if we look at our capital requirements on our budget, we are for the capital requirement at our mines or exploration need. And the cash we have on hand and the cash flows that we expect in 2013 more than adequately funded to meet capital requirements. Not only in 2013, 2014 is now material transaction and we are able to materialize an opportunity. We will assess it then. But what I can say is that for tuna has been relaying – had not done many financing. We have raised roughly $130 million, $140 million through the life of the company. And as moving forward with the ongoing business that we have, I think we will be looking more at non-diluted ways to fund our growth rather than just equity, which we used as a venture start-up in their release.
George Shea – Cicada Investments: Thank you. And I wish all of you a continuing success.
Jorge A. Ganoza: Thank you, George.
Operator: Our next question is a follow-up question from the line of [Andy Schopick], a Private Investor.
Unidentified Analyst: Yes, Jorge will you or Luis be coming to the New York hard Asset Investment Conference this May?
Luis Dario Ganoza: No. We are not planning to be at the conference. But we go through New York quite regularly at least three, four times throughout the year. If you are interested in an opportunity to meet, we will be glad to do so. And you can reach Carlos Baca, our Investor Relations manager. And I go through New York regularly and I meet with investors there regularly. So we’ll be more than happy. And we also attend other conferences and through Carlos, you can see our schedules and to see if there is a best time for us to meet.
Unidentified Analyst: Yes, I’d like to do that. I did meet Luis, I believe at a leadership conference last May after I returned from vacation. But I would like to touch face with you people about possibly meeting in the spring. Luis, one final question for you on the currency side of things; how much of an impact, can you give a general view what’s been happening with the Peru being sold and how that particular currency maybe affecting your cost in Peru?
Luis Dario Ganoza: Yes, in 2012 the impact has been non-significant in particular. In general terms, however, there is concern regarding further appreciation of the sole. So far and as far as our budget goes, we haven’t recorded or incorporated any material impact in our budget. But overall, yes, I would say there is a concern as to where there can be important appreciation moving forward. We have taken the position that any changes in the current direction will be modest. But it’s certainly something that will be dependent on several factors. So as far as our budgets of our 2013 and our performance in 2012, there hasn’t been a significant impact.
Unidentified Analyst: Thank you.
Operator: There are no further questions at this time. I would like to turn the call back over to management for their closing comments.
Jorge A. Ganoza: I would like to thank everyone for listening into today’s earnings call. We look forward to you joining us next quarter. Thank you very much and have a very productive day.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.